Operator: Good day and thank you for standing by. Welcome to the Tripadvisor Third Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Angela White, VP of Investor Relations. Angela, please go ahead.
Angela White: Thank you, Felicia. Good morning, everyone and welcome to Tripadvisor's third quarter 2023 financial results call. Joining me today are Matt Goldberg, President and CEO; and Mike Noonan, CFO. Last night, after the market closed, we filed and made available our earnings release. In that release, you'll find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent management's view as of today, November 7, 2023. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release as well as our filings with the SEC for information concerning factors that could cause actual results to differ materially from these forward-looking statements. With that, I'll turn the call over to Matt.
Matt Goldberg: Thanks Angela and good morning to everyone joining us today. For the third quarter on a consolidated basis, Tripadvisor Group delivered revenue of 533 million reflecting growth of 16% year-over-year. Viator achieved another solid quarter of outperformance with 41% revenue growth versus last year, and Tripadvisor Core also performed better than expected. Across both Viator and Tripadvisor Core, the progress in our experiences offering continues to exceed our expectations reflecting the large opportunity still in front of us in this category. TheFork made meaningful margin improvement on healthy top line growth, nearly reaching breakeven for the quarter. Consolidated adjusted EBITDA was a 127 million or 24% of revenue. These results reflect our continued progress in executing our segment strategies with strong financial and operational discipline.  As a reminder, at Tripadvisor Core we're focusing on engagement and delivering world class guidance products to fuel our diverse monetization paths. At Viator we are reaching our leadership -- we are reinforcing our leadership position in experiences by investing in awareness, enhanced products, and repeat bookings to capture more market share. At TheFork we're driving revenue growth with significant margin improvement this year by delivering value to both diners and restaurants as the leader in the European dining market.  I'm pleased with what our teams have accomplished in the quarter. We're leaning into the strength of our existing assets while ensuring that we build and innovate for the future. We're executing more efficiently and effectively across each of our segments, and we continue to solidify our position as the most trusted source for travel and experiences with Tripadvisor leading the way on the launch of the Coalition of Trusted Reviews, where we've brought together the leading platforms in the online review space to combat fake reviews and set global standards to best serve consumers.  Let's get into each segment starting with Tripadvisor Core, where we continue to make steady quarter-by-quarter progress on our strategy. I'm going to highlight a few examples of the proof points we're seeing and our ability to provide world class travel guidance, use that guidance to drive deeper engagement with travelers and position ourselves to translate that engagement over time into meaningful financial impact. Our strategy starts with innovating and enhancing our product, reinforcing Tripadvisor as a world class guidance platform for planning and taking a trip as well as in destination decision making.  At our last call, we mentioned the promising early feedback from a significant upgrade to trips our core trip planning and itinerary product including a new generative AI powered itinerary feature. We're still early in the journey and are iterating continuously, but we're seeing compelling results. During the first three months in beta, members who created itineraries returned at a much higher rate within the first seven days than members who hadn't created an itinerary and we've observed that higher return rate continuing for the full month thereafter as well. Importantly, members who build an itinerary also generate on average three times higher revenue than the average Tripadvisor member and the average member already monetizes at approximately 10 times the rate of non-members. We believe the initial data is a good indication of early product market fit and we're on a plan to launch this full trip planning and itinerary product on our mobile app, on iOS and Android this quarter.  Another stated priority is to drive deeper engagement with travelers leveraging our unique content and data at scale. We continue to deliver progress in Q3, let me share two examples. First, we've been leveraging generative AI and machine learning tools to bring together guidance from our community and our editorial team on a set of our most popular destination pages, think New York City, Paris, and so on. Curating fresh, relevant content on these pages is driving over 15% more saves so travelers are engaging more frequently by adding a desired hotel, restaurant, or experience they discovered through our product to the trip they're planning. Second, we recently rolled out a test across tens of thousands of hotels that uses Gen AI to summarize reviews and deliver clear insights to travelers on key quality attributes as they consider their choices.  Let me give an example, for me the single most important factor in booking a hotel is that I can get a quiet night sleep. We're now leveraging our data to provide a clear signal about the noise level of a particular hotel, along with other critical qualities we know are important to travelers like atmosphere, service, value, and more. Well Gen AI provides the perfect way to summarize content at scale, trust is still at the center of why people come to us, so in this feature we share the specific underlying reviews from our community of travelers that were used to generate each insight and provide a direct path to go deeper on what matters most to the traveler. These examples are just a few of the many encouraging proof points that our teams are driving, which gives us conviction in our strategic direction, prioritization, and sequencing. But we know this only matters if it translates the financial impact over time, and we're also pleased with the leading indicators we're getting on monetization.  I mentioned before the significantly higher revenue we see among users who create a trip. As these users build an itinerary and engage more deeply they're exposed to monetizable hotel and experience recommendations to relevant ads from our partners, all of which were increasingly integrating directly into this user journey. And the refreshed content on our destination pages is a perfect point in the journey to surface these options to a traveler. We’ve already observed double-digit increases in experiences revenue on the pages with these content enhancements and we are just beginning to scale.  All this adds up to more engaged travelers exposed to monetizable products; in experiences, for example, we’ve already exposed over 30 million more shoppers to bookable products year-to-date than in 2022. Given our positioning in the traveler journey, and our scale, we see opportunities to expand bookable supply into other categories or geographies, driving value for travelers and partners alike. Turning to Viator, our position as the global leader in experiences continues to strengthen. We’re serving more travelers, partnering with more operators, and powering more experiences storefronts than ever before. We reached $1.1 billion in gross bookings value this quarter. In an attractive category with a total addressable market projected to reach nearly $300 billion in GBV in the next few years, online players like us are set to disproportionately benefit as bookings increase and migrate online. We’re working hard to accelerate this migration, differentiate Viator, and drive sustainable results. On the traveler side, our acquisition engine is gaining efficiency. Our brand marketing investments are yielding greater demand from more profitable channels, such as brand search, app, and direct traffic. And we’re successfully turning this new audience into a loyal one. We’re doing this in two ways: first by improving the product experience, by easing search, enhancing the app, and improving our check-out experience, and in hundreds of other large and small ways. Second, we’re making it simple and sensible to come back by providing programs and incentives that drive loyalty. Collectively, these are driving significant improvements to repeat behavior. Our most loyal users are our fastest growing, highest spending, and least expensive of all our users. On top of this compelling traveler experience, we're also reinforcing our supply asset. Viator has the world’s largest, high quality, online supply of experiences: over 300,000 products from more than 55,000 operators. We’ve achieved this by being the best partner we can by driving more bookings, and delivering demand as seamlessly as possible. Our success here shows up in our high retention rates as well as our operator engagement, with suppliers generating meaningfully more business through Viator the longer they remain on our platform. We also see it in the adoption of our Accelerate program: more than half of eligible products are now opted into the program, with operators choosing to exchange a higher commission for increased exposure across our platform. This has contributed to sustained improvements in take rates, and a clear signal of the meaningful value we are providing. Finally, at TheFork, we continued to make progress on executing our strategy to achieve profitable growth, growing top line revenue while reaching an adjusted EBITDA loss of $1 million, a significant improvement over last year. As we build on this performance, we remain on track to deliver on our commitment to exit the year at break-even profitability. We are achieving these results by leveraging our historical investments on both sides of the marketplace, while focusing on operational execution. On the demand side, we observed strong bookings contribution from repeat diners, the majority of which engage with us through our app, our most efficient and profitable channel. On the supply side, our restaurant cohort performance exhibited sequential improvements on both volume and value per restaurant. We’re also benefiting from operational efficiencies, as we lead our teams to higher levels of productivity as the business continues to grow. Before I pass the call to Mike, I want to reiterate how excited we are about the work we are doing and how proud I am of our team and their focus entering the final stretch of the year. As we look externally, we can’t predict how the global economy or geopolitical events may impact the strong activity in travel we’ve seen for the last year plus. It’s normal for us to see immediate movement in destination intent and experience bookings when disruptions occur, which typically abate in the days or weeks following, whether related to extreme weather, natural disasters, or recently, the activity in the Middle East. Overall, however, we continue to see resilient and durable travel intent in our data, driven by the enduring trend of consumers prioritizing travel and experiences over other discretionary spend. What we do know is that across the Group we are making tangible progress. At Tripadvisor Core we are on track in a multi-year transformation journey, leaning into a future that diversifies our business to deliver new avenues for sustainable growth and profitability, as exemplified by our thriving experiences marketplace. At Viator, we are scaling to lead the global experiences category, delivering healthy levels of growth with improving unit economics, which gives us confidence in our ability to realize increased profitability at scale from the strategic investments we’ve made. And at TheFork, we are executing in a fragmented market with a compelling value proposition and competitive differentiation; we will continue to leverage historical investments as we progress this segment to profitable growth in the near-term. With that, I’ll turn the call over to Mike.
Mike Noonan: Thanks Matt, and good morning everyone. I’ll start by reviewing Q3 results and provide some color on expectations for Q4 as well as some preliminary thoughts on fiscal 2024. All growth rates for 2023 are relative to the comparable period in 2022, unless otherwise indicated. Now onto Q3, we delivered results that exceeded our expectations for the quarter. Consolidated revenue was $533 million, reflecting growth of 16%, or 13% on a constant currency basis. Adjusted EBITDA of $127 million, or 24% of revenue, was approximately 150 basis points better than the range we provided last quarter. Turning to the segment performance for the third quarter, Tripadvisor Core delivered revenue of $290 million, which represented 2% growth for the quarter. Branded Hotels revenue of $181 million declined 4%, an improvement from last quarter’s decline of 7%. Within Branded Hotels, we saw mid-single digit declines in hotel meta and high-single digit growth in our hotel B2B business. We were pleased with the stability of hotel meta in Q3, in particular coming out of the volatility we observed in Q2. Healthier trends emerged in July and carried forward through the rest of the quarter. The performance in the quarter, as compared to our outlook, was largely driven by sustained pricing strength, with volume broadly in-line with our expectations across both free and paid channels. Geographically, Europe performed better than our expectations–though on a year-over-year basis, it still lags the U.S. which continues to benefit from sustained pricing strength. We continued to see strong pricing growth globally while volumes lag last year’s levels. While pricing is heavily impacted by the overall health of the travel market, we believe the pricing trends we have witnessed this year are also a direct result of product decisions that we have made on the platform. Some of the changes that we implemented have reduced volume but delivered higher quality clicks for our partners, which we believe has contributed to the strong pricing trend this year. We were pleased with the performance of our free channels within hotel meta, as the share of hotel meta revenue coming from free channels remained stable year-over-year. We continue to manage paid channels for profitability by maintaining consistent ROAS targets. While this puts pressure on hotel meta revenue growth, we believe maintaining profitability in paid channels is prudent as we continue to execute on our transformation at Tripadvisor Core. Display and platform revenue grew 15% to $38 million. We’re proud of the growth we were able to drive amidst a more modest growth in the broader travel media category, in particular traditional display advertising. This performance is due in part to the collaboration in creative and content we are doing with endemic and non-endemic partners. Experiences and dining revenue grew 22% to $55 million, with experiences revenue growing nearly 30%. We are very pleased with this performance, in particular with how the teams have managed to continuously improve conversion rates across channels and surfaces while more effectively managing profitability in the paid channels. Revenue from Other offerings declined 11% to $16 million due to continued de-emphasis of flights, car rental, and vacation rental categories, which offset revenue growth in cruise of 13%. Tripadvisor Core adjusted EBITDA was $111 million, or 38% of revenue, above our expectations and approximately 100 basis points lower than the same period a year ago. The modest de-leverage was a result of a revenue mix shift between hotel meta and experiences. Although hotel meta’s revenue is a smaller share of total segment revenue, its contribution margin has remained stable year-over-year. Turning to Viator, revenue was $245 million, reflecting growth of 41% or 39% on a constant currency basis, which was meaningfully higher than our expectations. Gross booking value was approximately $1.1 billion, reflecting growth of approximately 33%. Growth in gross booking value was primarily driven by volume growth and to a lesser extent pricing. We observed strong growth in destination bookings outside of the U.S. Adjusted EBITDA at Viator was $17 million, or 7% of revenue, which is flat year-over-year. While we achieved leverage in performance marketing this quarter, it was offset by an increase in brand spend. I want to reiterate what Matt said earlier about how Viator continues to deliver an enhanced value proposition to both travelers and operators. It’s a large opportunity and our strategy is focused on investing to build scale and a strong competitive position in the experiences category. Our investment in traveler acquisition continues to translate to attractive and improving repeat behavior that is now delivering meaningful financial impact that we see carrying over to deliver full-year profitability in 2024. As we’ve discussed, the online addressable market for experiences still has low awareness. Just 25% of the nearly $250 billion market transacts online today but continues to migrate quickly. Given these dynamics, new travelers typically discover Viator through paid online acquisition channels, such as search engine marketing. Given the value of scale and the reach these channels offer, we have been investing significantly to acquire new customer cohorts that are new not only to Viator, but often new to the category itself. Underpinning this investment strategy is our success in capturing new demand at scale through all acquisition channels and delighting these customers for the first time. And this success is driving attractive, growing repeat behavior that we are now seeing drive leverage as Viator continues to scale. Our traveler cohort performance has consistently improved across every major metric. Higher rates of repeat bookers who are spending more with us and every subsequent booking returning to us through our most profitable channels: whether it be directly on our site or app, or through SEO, branded affiliates, or branded search. The combination of this consistent behavior has resulted in a highly valuable base of loyal, repeat travelers. Gross bookings value from the repeat customer base has been our fastest growing segment at Viator, where we observed 3.5 times growth relative to new customers this quarter. As we continue to deliver on our value proposition, we expect Viator’s traveler cohort mix to continue to shift disproportionately more towards a higher contribution of repeat travelers that engage with Viator more and more directly or through immediately profitable acquisition channels. So we continue to be encouraged by the strength of Viator’s unit economics and the leverage they are driving in the second half of this year that we believe will underpin full-year profitability next year. At TheFork, revenue in Q3 was $42 million, reflecting growth of 20%, and 14% on a constant currency basis. Revenue growth was driven by a mix of both volume and pricing growth. Overall, we are focused on continuing to increase monetization of our marketplace with balanced investments in both supply and demand in order to exit the year at adjusted EBITDA break-even. Adjusted EBITDA loss at TheFork was $1 million, or negative 2% of revenue. Sales and marketing as well as technology and content costs levered significantly, resulting in 24 percentage points of year-over-year margin improvement driven by disciplined operating execution. We are pleased with the progress we are making on profitability and anticipate further momentum in future periods. Turning now to consolidated expenses. Cost of revenue de-levered by approximately 100 basis points primarily due to the increased weighting of Viator-related cost as a percent of consolidated revenue. Viator’s costs include credit card processing fees, which increased with Viator’s transaction volume. We also saw some increases in media-related costs in the Tripadvisor Core segment due to more customized campaigns we ran in the quarter.  Sales and marketing as a percent of revenue was approximately flat year-over-year. People costs as a percent of revenue were lower at Tripadvisor Core and TheFork, offset by higher sales and marketing spend at Viator, primarily due to increased brand spend. Technology and content de-levered modestly due to higher people costs at both Viator and Tripadvisor Core, which offset lower costs at TheFork. G&A expenses levered by about 50 basis points primarily due to lower people costs at Tripadvisor Core. During the quarter, we had a restructuring expenses of approximately $18 million. This included $8 million in Tripadvisor Core related to the cost savings actions we discussed on our last call. In Viator, this included $3 million related to restructuring efforts to move certain functions to lower cost locations. Finally, at TheFork, this included $7 million related to cost savings initiatives actioned during the quarter. As we noted on the last call, the actions impacting Tripadvisor Core are expected to result in $35 million annualized cost savings. We now also expect the actions we took at TheFork to drive approximately $10 million in annualized savings. Timing of the actions we took across the businesses were largely isolated to the third quarter, but expect some small incremental restructuring expense to carry over in the coming quarters based on execution timing.  Now on to our cash and liquidity position. Free cash flow in the quarter was a deficit of $2 million. The sequential movement was driven in part by the seasonal outflow in deferred merchant payables during the peak travel season. During the quarter, we received a tax refund of $49 million associated with a previously disclosed IRS audit settlement. As a reminder, this refund was partially offset by the settlement payment of $113 million made during the second quarter of 2023. The expected net cash outflow related to this settlement is approximately $60 million to $65 million. Year-over-year the decline in operating cash flow was due largely to timing of deferred merchant payables and other normal working capital movements. Finally, as noted in last night’s release, during the quarter, the Board of Directors authorized a new repurchase program of $250 million. We plan to execute this program opportunistically, subject to financial performance of the business, stock price movements, and other external factors. Turning now to outlook for the fourth quarter. Although we have limited exposure to the Middle East across our brands, we did see volatility increase at the onset of the conflict in October, primarily in experiences. We saw both an increase in cancellations and a deceleration of new bookings in the region. We also saw some impacts in European countries as travel warnings were implemented. Cancel rates receded as we exited the month. October performance has been incorporated in our quarterly outlook. For the quarter, we expect the following; consolidated revenue growth of mid-single digits. The primary drivers of our expectation are mid-single digit declines in Tripadvisor Core and low-20% growth in Viator. We expect TheFork to grow in the low- to mid-teens year-over-year. For adjusted EBITDA, we expect consolidated margins of mid-teens, expanding year-over-year by 400-500 basis points. By segment, we expect an approximately flat margin in Tripadvisor Core despite expected revenue declines. We expect year-over-year improvement in Viator margin of approximately 350 to 450 basis points and we expect TheFork to benefit year-over-year from cost improvements, and exit at break-even. For the full year 2023, we now expect revenue growth in the high teens, slightly above the outlook we provided on our last call. For adjusted EBITDA margin, we are slightly increasing our expectation from our last call, and now expect consolidated EBITDA margin of approximately 18%. As we begin to think about 2024 on a consolidated basis, we expect to deliver adjusted EBITDA dollar growth that will outpace revenue growth due to the full year profit contributions from both Viator and TheFork, coupled with our approach to balancing investment in Core strategy where the savings we’ve found in 2023 allow us more flexibility to support future execution of the strategy. With that, I’d like to turn the call back over to the operator and begin Q&A.
Operator: Thank you. The first question comes from the line of Naved Khan of B. Riley Securities. Nave, please go ahead.
Naved Khan: Yeah, thanks. Thanks a lot. Two questions for me. It's great to see the signs of leverage in Viator margins. Just a quick sort of question on how should we think about 2024. So Mike, I think in your prepared commentary you said you expect to see positive margins. But just give us a sense of like, the amount of leverage you are willing to kind of drive through that, understand there is a balance to be played out between growth and margins, so give us your thoughts there? And then maybe, on Accelerate 2.0. Just tell us what your expectations are, are you thinking you can drive more adoption through this revised version of accelerate?
Mike Noonan: Great, thanks for that. Yeah, just on your question one regarding kind of 2024 outlook for Viator. So I think it's a little early to put a very specific stake in the ground on growth and margin. That's what we will be developing over the coming, finalize in another couple of months. You know, I think the point we really want to make was one, we're excited about the portfolio.  [Technical Difficulty]  Sorry. 
Operator: Sorry about that. 
Mike Noonan: We lost our connection I think.
Matt Goldberg: I think, yeah, Now -- It is Matt. I can assure you, it wasn't anything you said. It was all. So yeah, you were asking about Accelerate 2.0. and we're really excited because of course, Accelerate has been a terrific program, which is really conveying clear value as operators opt in for more and more products. More than half of products are opted in at this point. And so what the team has been doing has been really looking at how to expand that program to really boost the operators who are looking for more demand. And this is driving more operators who are willing to participate above the minimum margin, and continuing to boost the take rate. And so we've seen more than pretty significant double-digit growth and more products coming in. And the weighted average margin boost is increasing and that's really delivering a better take rate and so we're excited about that and we're looking to scale that as we go forward.
Naved Khan: Understood. And Mike, I think we lost you kind of midway through the commentary on margins, just -- is can you just recap it? 
Mike Noonan: Yeah, sorry. Too bad. I didn't know we lost you. Yeah, my points were a couple points on your questions on specifics around Viator. So one, it's early to give specifics around growth and margin. That's what we'll be developing over the next -- finalizing next couple of months. The main points we want to convey is one, we are very excited about the portfolio delivering EBITDA growth next year and that's with all the brands contributing to EBITDA. So that's point one. Point two, was when we think about full year profitability for Viator it's what we've been talking about for some time. It is the unit economics we've been seeing, it's the repeat behavior we are developing, giving us confidence that we are moving into that area of profitability for Viator. And that's what's exciting for us. On the February call we'll be giving more guidance around this specifically.
Naved Khan: Awesome. Thank you, Matt. Thank you Mike. 
Operator: One moment for your next call. The next question comes from the line of Ben Miller of Goldman Sachs. Ben, please go ahead.
Benjamin Miller: Hey, thanks for taking the questions. Just on Viator, you've talked a lot about some of the in house work you've done to optimize the user experience and customer journey to drive retention and repeat rates, just curious how much of that is still ahead of you in 2024 versus behind you and what that roadmap looks like? And then on the cost savings in the Core and TheFork, how are you thinking about the flow through of that versus reinvestments in both segments? Thanks.
Matt Goldberg: Thanks, Ben I'll take the first question about Viator product and then Mike, I think will take the second. So I think there is a lot of headroom on Viator product, the team is very focused and disciplined about what it delivers quarter-by-quarter and annually. And we see many, many more opportunities than we can go after. And so, as we look at where we're focused, we've been focused on the app which is driving significantly more app downloads. I think 50% more app downloads, and really thinking about how to improve the post booking journey. And of course, the app converts better than any other surface. So we're really excited to continue leaning into the app.  They're also spending time thinking about loyalty and how travelers can be rewarded to drive further repeat. So they're just testing a rewards program, which will roll out as well. And the initial tests have been really quite positive about items and also lift and repeat. There's a lot we can do going forward using data. So of course, we have a unified data platform now and the team has been experimenting with leveraging data from across the group including Tripadvisor data to drive audiences that will make it far more effective. There's also experimentation going on in pricing. And similarly, as we continue to offer award winning customer service, leveraging AI to drive augmented customer service, that'll be great quality and also improve handle rates significantly. So there is a lot we can be doing. And we're excited about Q4 roadmap and 2024.
Mike Noonan: Yeah Ben, on the cost savings and just to reiterate a little bit, we've said for Core is the 35 million annualized savings and then we introduced our new incremental to that was 10 at TheFork, just to be clear, and there's no confusion. Yeah, when I think about the question around flow through to next year, I think, one emphasis is that the team has done a lot of hard work this year, like building a great foundation to implement strategy work. And I think that cost savings work is a big piece of that. I think we're evaluating how to execute against our strategy. our strategy is very important as to in the long term, growth and margin of Core. And so a lot of the work on the savings it allows us the opportunity to evaluate investing, rather than necessarily flowing that all through to margin. And these are the choices that we're making and evaluating right now.
Operator: One moment for your next question. The next question comes from the line of Lloyd Walmsley of UBS. Lloyd, please go ahead. 
Lloyd Walmsley: Great, thanks for taking the questions and apologies if you've covered some of this already, but wanted to just dig into the long-term strategy around more integration of generative AI, like what are you seeing so far in your trip planning product in terms of consumer uptake and kind of the overall impact on the platform and how do you see that evolving over the next year, how big of a priority is this and how meaningful could this become? We'd love to get your thoughts on that. Thanks.
Matt Goldberg: Thanks Lloyd. Of course, we've been working on AI and ML for a long time in this company, when generative AI became something that everybody was talking about. I was very clear that we have urgency and focus on it and we think about it in three ways. One is what we can do to really drive activity in our product. And you've seen us do that with our itinerary builder, and really leveraging our data, the proprietary first party data that we have. Clickstream data, behavioral data to really understand users, and then to deliver an itinerary that is highly personalized, and with the right kind of prompt engineering to deliver a good experience. And that product, of course, is now delivering a really good number of generative AI itineraries. It's double-digit percentage of total itineraries being created and growing. And we're seeing that those users are returning at a much higher rate, as I mentioned, and this is without significant product marketing or further enhancements of the product. So now we look to enhance that product and really drive monetization and further integration coming out of it going forward.  We also have been doing a lot with our content, right. We have this incredible vast billion reviews that are from real people. And we have gotten -- we've been improving the product so that we continue to have [indiscernible] and relevance, which gives us an incredible content dataset to be to be leveraging. And, of course, our audience and brand of trust. So we think generative AI around our product is going to continue to be meaningful and we'll look to leverage it across all of our categories, hotels, experiences, and restaurants.  We will also leverage generative AI for productivity and we're exploring lots of use cases across how we think about trust and safety and what we're doing to make sure we have the highest quality reviews. Translation and localization as I mentioned, before customer service, engineering productivity, marketing productivity, we can imagine a use case for every functional area and we're going to be leaning in for the long-term. And then finally, we want to be very thoughtful about how we partner with the best of class LLMs and the large tech platforms, as we think about being a part of the generative AI ecosystem, whether we choose to be a direct partner or frankly, select the ones that we feel we're getting the most value from, and choose not to work with and therefore block the others that don't. So we think we've got a good strategy for the long-term and this is a long term proposition. It's very early days but we're excited about where we are.
Lloyd Walmsley: Alright, thank you.
Operator: One moment for your next question. The next question comes from the line of Doug Anmuth of J.P. Morgan. Doug, please go ahead.
Unidentified Analyst : Good morning, this is Dave on for Doug. Thanks for technical questions. I have two. So first one, could you provide a little more color on the Viator Q4 [ph], just a little 20% of growth expectations includes, any view on improvement and growth in the back half of the quarter? And then secondly, just looking at modification, is the goal to drive more revenue per user using democracies those you already have in place, or do you see an opportunity to add new monetization options over time? Thank you.
Mike Noonan: Yeah, I'll take the first one on Viator Q4. So yeah, I would say, when we think about Viator and outlook for Q4, I would say a couple of things; one, it is a tougher comp or a tough comp, lapping still very high growth rates in that fourth quarter. And then secondly, I would say, as I said in the prepared remarks, October, we did see some volatility coming out of the Middle East, and some of it leaked over into Europe. And that was -- that's part of our forecast. So I think those are two areas that would be I would tell you in terms of how our thoughts are thinking around Q4 for Viator.
Matt Goldberg: Yeah, thanks. And in terms of monetization, you're absolutely right, our strategy is less about having a vanity metric of users and much more about focusing on the highest value users that are going to significantly drive ARPU. And as you know, we will continue to attract an audience of scale and we feel that we can stabilize the top of the funnel. But we really believe that we can convert more of them into highly engaged users, into members that drive deeper into our site, and further engagement through our mobile app, which will deliver much stronger monetization and ARPU.  Now, it's also true that we believe we can diversify monetization. Of course, we've been a business in the very early years of this business that at Tripadvisor in particular, that was driven by CPC economics, and more frequently we are driving a balance with increasing CPM economics. And of course, marketplace economics where we are increasingly matching, supply and demand and taking a percentage of the transaction. That's what we've seen in our marketplaces, our experiences marketplace, and we believe there is a lot of headroom there for Tripadvisor as we add new categories, as we add new geographies where we can go deeper into slivers of demand and match with supply. It may be Viator supply, but it could also be supplied from elsewhere and we're excited to continue to do that. And we will also lean in to our mobile app experience to really drive that diversification as well.
Unidentified Analyst : Great, thank you.
Operator: One moment for your next question. The next question comes from the line of Niall Mitchelson of Bernstein. Niall, please go ahead. 
Niall Mitchelson: Hi, there. Thanks for the question. I just wondered if you could break down some of your Q4 guides for Core as to how much you think sort of that mid-single decline will come from matter and some of the other moving parts because obviously this much business was up in the quarter. So maybe you could break that down as to how much is driven by matter? And then another question, if I may, the buyback guidance of 250 million, how are you thinking about the timing of that and how do you sort of balance with the cash you have on your balance sheet as well and capital returns to shareholders?
Matt Goldberg: Yeah, thanks. Great. Yeah, on Core I think the guide of what we gave you is heavily influenced. We didn't give you a breakdown on the business units at Core, but obviously it is heavily influenced by the Core auction business. In terms of Core auction business I'd say a couple things; one, for Q4 it's really more dependent around pricing assumptions. I think Q4 tends to be historically lower pricing, just seasonally. And then secondly, we are lapping some product changes, which I referenced in my prepared remarks around pricing benefit has really helped us this year. And, we just want to be prudent as we continue to lap those changes, and think about how it impacts us in Q4. So that would be the biggest kind of -- biggest way we thought about Q4 for the auction business.  In terms of the buyback program, we are very excited about this. When we think about overall capital allocation, this is an important part of that framework. We still want to provide adequate liquidity and think about value creative M&A, we've talked about that for some time this year, as well as making sure we're maintaining a strong balance sheet and liquidity position. The buyback, we do want to execute opportunistically, according to as we think about overall liquidity needs, we do want to maintain a strong liquidity profile. So we'll be evaluating that as we progress over the next two years, where we see excess capital that we're generating from free cash flow that we could deploy to the buyback incrementally over time, and are excited about the program.
Operator: One moment for your next question. The next question comes from the line of Jed Kelly of Oppenheimer & Co. Jed, please go ahead.
Jed Kelly: Hey, great, thanks. Thanks for taking my question. Just circling back to some of the pricing commentary you had and the differences between Europe and the U.S. Was some of the pricing due to the European market just being so good. And a lot of your partners receiving higher organic traffic and should we expect like an improvement in next year? And then can you just give us an update on what your fixed cost baseline should be going into next year after the cost cuts? Thank you.
Mike Noonan: Yeah, so on the pricing side, Jed and good to hear from you, the pricing side for Q3, our pricing was better than anticipated. But still, lags I can say other regions, U.S. and Europe. I think pricing is better in free than paid. The pay channel in Europe continues to be very competitive, and the pay channel in Europe and globally, we continue to manage for profitability and robust targets, as I said in my prepared remarks, which has remained stable year-over-year. It's hard to see how if that changes next year, I think, we expect that to continue to be a competitive market. And as we sit today, we expect to continue to kind of approach that market in a similar way as well as how we approach other markets. In terms of fixed cost base, I think I will just repeat back kind of what I said before in my earlier remarks, we think about Core, we are -- with the activities we did this year, we are excited about the opportunities to think about where we invest for growth and strategy, I'd say, long-term growth, and the opportunities and decisions we make around how we think about that in savings. We continue to be prudent as to where those savings came from, in terms of headcount reductions, primarily in G&A and some of our sales and marketing functions while protecting a lot of the areas around innovation that we have been making this year, which is very important to our long-term growth and health and underpin all the things that Matt has talked about earlier. So we're excited about the position we put ourselves in and again, we'll be making some of those trade off decisions as we finalize planning over the next couple months. 
Jed Kelly: Thank you.
Operator: One moment for your next question. The next question comes from the line of Brian Fitzgerald of Wells Fargo. Brian, please go ahead.
Brian Fitzgerald: Thanks. I know you guys kind of hit this a bit already. Maybe wanted to try and parse out hotels meta in Europe a bit more. If you had to assign percentages or weightings for impacts or influences there from the consumer side versus from traveler partners and bidding dynamics, can you, and I know they're all related, but could you talk to that dynamic and maybe what's impacting the most with meta in Europe? 
Mike Noonan: Yeah, so just to start, the U.S. is our largest market for sure. I'd say, in Europe, the dynamics are similar that we saw good dynamics coming out of Q3. They were consistent as we moved into October. So October trends are very similar to what we saw in Q3. I think Europe remains a competitive marketplace in the paid channels. It's one that we are going to be very prudent as to how we approach that. And as I said earlier, be consistent in thinking about our role as targets. Our volumes have been down in the paid channels, better in the free channels. And that dynamic is not new there Brian though, and one that we continue to manage we believe for a profitable business in Europe. So we're, I'd say your remains very competitive. But we're very pleased with how we are executing against that backdrop.
Matt Goldberg: And Brian, it's Matt. I just wanted to be clear, the bidding dynamics and the auction are good, and the relationships with auction partners are strong. We meet regularly, we talk about how we can drive product enhancements that really helped them achieve their goals. I think those dynamics are good.
Brian Fitzgerald: Awesome. Thank you, Mike. Thanks, Matt.
Operator: One moment for your next question. The next question comes from the line of Tom White of D.A. Davidson & Co. Tom, please go ahead. 
Tom White: Great. Thanks for taking my question. Just you touched on supply trends at Viator and curious we are ramping supply down this area, focus areas. Matt, you made a comment earlier about kind of the vanity metric, I think you related -- you are talking about kind of consumers or users but curious whether that kind of view informs how you think about supply at all with Viator? Thanks. 
Mike Noonan: Yeah, the vanity metric point it was around Tripadvisor Core, and how we think about really leaning into the most important users that come to us rather than the number of top funnel which we're focused on. At Viator, you know, Viator has the best supply team in the business. And they've proven that by ramping up supply, focusing on quality supply, and really developing programs to deliver for suppliers and operators. And we try to be the best partner we can and supply is always a focus. And I think it is a continuous area to think about, where do we see demand coming in and how do we have the right products and the right partners on our platform. And again, I think that the programs that they have been delivering over time and the take rate is just a really clear example of the value that we are providing to suppliers even as we scale.
Tom White: Thank you. 
Operator: One moment for your next question. The next question comes from the line of Kevin Kopelman of TD Cowen. Kevin, please go ahead.
Kevin Kopelman: Great, thanks a lot. Could you touch a little bit on the competitive landscape in Experiences as Viator and maybe characterize your position at Viator and any changes or how you see it developing? Thanks.
Matt Goldberg: Yeah, so obviously, the experiences category is large and growing, it gets a lot of attention. It's a competitive market. I think I've spoken in past calls about how it's largely broken down by region and we are very focused on building out a global platform. Now, we've seen a lot of players come in and go out and of course, we're always watching what's happening in the ecosystem. But we actually think that the competition is just a good signal that this is a really interesting market. And so as the market leader, we want to be focused on innovation and really differentiating the way that we deliver as we scale. The largest competitor in this market is probably still the majority offline bookings rather than some other company in this space. And so, our teams are just so focused on how we bring the traveler online, how we drive awareness to the category, and to what we're doing in the category at Viator. And the behaviors that we think are going to emerge and really helping make it easy. This is how the category is going to be one. And our performance suggests we're on the right path. 
Kevin Kopelman: Thanks Matt.
Operator: one moment for the last question. The last question comes from the line of John Colantuoni from Jefferies. John, please go ahead.
Unidentified Analyst : Hi, there. This is Chris on for John, thanks for taking our questions. Curious about the different components of the restructuring charges incurred in the quarter and are expecting for the fourth quarter. Can you just give us some more color on the individual pieces of that 18 million, how much of it is kind of severance versus other things that you're doing, and is that breakdown consistent across Core, Viator, and TheFork? Thank you. 
Mike Noonan: Yeah, good question. So yeah, the restructuring charge that I mentioned in my prepared remarks, majority of that is really around TA Core. Now TA Core is really around the vast majority as its headcount related, so it will be severance costs and severance payment, things like that. And as I mentioned earlier, a majority of that is around G&A functions and sales and marketing. We did keep investment in areas like technology and content for a longer-term strategy. Similarly, for TheFork, I would say similar type of breakdown. I think, a little bit more diverse, but really headcount related. And Viator was really around restructuring of moving some product teams into low cost locations. So not a savings for Viator but really a reallocation, a long-term savings I think for more efficiency perspective, the reallocation of resources to a more efficient location.
Unidentified Analyst : Alright, very helpful. Thank you.
Operator: At this time, I'd like to turn the call back over to CEO, Matt Goldberg.
Matt Goldberg: Thanks, Felicia. And thanks again to everyone joining us today. We're excited about the progress we're making on our stated strategy in each of our segments, and focused on closing out the year strong as we look forward to 2024. See you soon. Thanks.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.